Operator: Good day ladies and gentlemen, and welcome to the Q1 2010 Arbor Realty Trust earnings conference call. My name is Katrina and I will be your coordinator for today. At this time, all participants are in listen-only mode. Later we will conduct a question and answer session. (Operator instructions) I would now like to turn the conference over to your host for today, Paul Elenio, Chief Financial Officer. Please proceed.
Paul Elenio: Okay. Thank you, Katrina. Good morning, everyone and welcome to the Quarterly Earnings Call for Arbor Realty Trust. This morning, we will discuss the results for the quarter ended March 31st, 2010. With me on the call today is Ivan Kaufman, our President and Chief Executive Officer. Before we begin, I need to inform you that statements made in this earnings call may be deemed forward-looking statements that are subject to risks and uncertainties including information about possible or assumed future results of our business, financial condition, liquidity, results of operations, plans and objectives. These statements are based on our beliefs, assumptions and expectations of our future performance, taking into account the information currently available to us. Factors that could cause actual results to differ materially from Arbor’s expectations in these forward-looking statements are detailed in our SEC reports. Listeners are cautioned not to place undue reliance on these forward-looking statements which speak only as of today. Arbor undertakes no obligation to publicly update or revise these forward-looking statements to reflect events or circumstances after today, or the occurrences of unanticipated events. I’ll now turn the call over to Arbor’s President and CEO, Ivan Kaufman.
Ivan Kaufman: Thank you, Paul, and thanks to everyone for joining us on today’s call. Before Paul takes you through the first quarter results I’d like to talk about our strategy and accomplishments and how we have successfully positioned the company for the future. Kicking up where we left off last quarter we continue to execute our strategy of effectively managing our portfolio, increasing our liquidity and repurchasing debt at deep discounts when available. As mentioned on our last call we’re extremely pleased with the results of these efforts to successfully restructure our entire balance sheet, which has favorably positioned the firm combined value from our legacy assets, produce a more stable core earnings based going forward and take advantage of many investment opportunities that we believe will be available in the future. The first quarter continued our progress of executing our strategy with the successful completion of the retirement of 114 million of our trust-preferred debt and the repurchase of 28 million of our CDO debt at substantial discounts. We recorded $47 million in gains from these transactions in the first quarter while using only a nominal amount of operating cash relative to the size of a debt retirements. Additionally, as we talked about last quarter, we’re very focused on raising the necessary capital to close on the discount of payoff of our financing facilities with Wachovia which we have until the end of August 2010 to complete. We’re pleased to report that run off and monetization of certain assets we reduced the amount due on the repurchase plan another $46 million in the first quarter, even the balance due of approximately $114 million down from the original $106 million purchase price. The completion of this transaction will be a primary focus of the company over the next few months and will result in a significant gain and increased our book value per share. Clearly, these substantial debt retirements are major step of positioning us more favorably for the future. It will improve the right side of our balance sheet significantly by reducing the leverage and recourse that substantially leaving us poised to take advantage of the opportunities that will exist in the market. We continue to focus heavily on increasing and maintaining our liquidity. And as of today, we have approximately $73 million of cash on hand and around 20 million of cash collateral posted against our swaps. We’re also pleased with our ability to manage our CDO vehicles sufficiently, receiving all of the cash distributions from these vehicles in 2009 and the first two quarters of 2010. And while there can be no assurances that our CDO vehicles will continue to cash flow in the future we will remain focus on optimizing and utilizing these facilities by transferring assets and originating loans where available and appropriate. The effective management of our CDOs has contributed greatly to a reduction of our warehouse and term debt facilities, which as I have mentioned earlier has reduced the amount due on the discount to pay off with Wachovia. Although we have recorded significant losses in the 2008 and 2009 we have done an effective job of managing through the downturn by restructuring our balance sheet. This include repurchasing the Wachovia and trust-preferred debt at deep discounts as well as restructuring the substantial amount of our assets creating a higher quality portfolio going forward and execute an effective strategy of mitigating the offsetting losses from these assets to the repurchase of other debt and monetizing our equity investments. In fact we’ve recorded $54 million in gains from these debt repurchase in 2008 and 2009, 47 million in the first quarter of 2010 and another 13 million already in the second quarter of 2010. As we stated earlier we’re expecting a significant gain from the completion of the retirements of the Wachovia debt. We also generated gains of approximately $50 million in 2008 and 2009 from monetizing our equity investments. We believe there will be a similar opportunities for us to repurchase our debt at discounts going forward and we will continue to evaluate these transactions based on availability, pricing and liquidity. So as you can see these numbers are quite compelling. We’re extremely pleased with our ability to preserve the substantial amount of our book value despite losses in our portfolio due to the extreme market dislocation through monetization of assets and significant discount of debt repurchases. Now, I would like to update you on our view of the market and a credit status of our portfolio. The environment over the past two years has clearly had an impact on every borrower and on our portfolio as commercial real estate fundamentals and real estate values have remained weak for some time. We recorded $25 million of loan loss reserves during the first quarter related to 10 loans with an outstanding balance of approximately $150 million. Of that amount, $19 million were on loans in which we had previously recorded reserves, while $6 million for new reserves. We now have $351 million of loan loss reserves at March 31st related to 33 loans, with an outstanding balance of approximately $711 million. We also refinanced and modified $140 million of loans and extended $105 million of loans during the first quarter. As of March 31st we had approximately 200 million of non-performing loans down from $225 million at December 31. As you can see the level of our loan loss reserves is down substantially in the first quarter for the fourth quarter primarily due to what we believe are some initial signs of stabilization in a market for commercial real estate and the worst is behind us. While we believe we’re adequately reserved at this time if real estate values and fundamentals decline in 2010, this will likely result in additional delinquencies and losses. Accordingly, we will continue our strategy of focusing on our strength and our balance sheet, preserving liquidity and aggressively managing our portfolio. As the market continues to evolve and to what will be the new norm for commercial real estate finance, we’re beginning to evaluate opportunities to participate and lending again. As I mentioned earlier, we feel the worse is over and having the capability and patients await the market recovery remains viable to our success. We’re extremely pleased with our ability to substantially improve our liquidity and restructure our entire balance sheet through the retirement of significant amount of our debt at deep discounts. This again will produce large gains and improve our balance sheet tremendously which will position us favorably to evaluate and take advantage of the many opportunities that lie ahead. We have also taken necessary steps to manage our portfolio effectively and this remains an extremely critical function in these times. We’re pleased and fortunate to have a season management team and feel that we have not only survived perhaps the worst commercial real estate market dislocation in the U.S. history, but position ourselves favorably to extract value from our legacy assets and take advantage of the eventual market recovery and we are very excited about the challenges and opportunities that lie ahead for our company. I will now turn the call over to Paul to take you through some of the financial results.
Paul Elenio: Thank you, Ivan. As noted in the press release, we had net income for the first quarter of $26.4 million or $1.04 per share. As in previous quarters, we did have a few large items that affected the numbers. We recorded $25 million of loan loss reserves during the quarter and we now have $351 million of loan loss reserves on 33 loans with UPB of around $711 million at March 31. As Ivan mentioned, this environment has clearly had an impact in every borrower in our portfolio and we’ll continue to take proactive approach in evaluating our portfolio and actively managing and monetizing our assets. Additionally, we continue to effectively execute our strategy of minimizing losses to the retirement of our debt instruments at deep discounts. We’re very pleased with our ability to retire 114 million of trust-preferred debt and repurchased 28 million of our CDO debt at significant discounts recording 46.5 million of gains from these transactions in the first quarter We also took advantage of the market opportunities to sell-through of our CMBS securities at a premium to our basis, recording 3.3 million in gains from the sales in the first quarter as well. These sales did result in us having to reclassify our remaining held-to-maturity securities to available-for-sale and record approximately 18.6 million of unrealized losses from a change in the market value of these securities as reduction of our equity during the quarter. We do believe there will be similar opportunities to repurchase our debt at discounts going forward and we will continue to evaluate these transactions based on availability, pricing and liquidity. The completion of these transactions has significantly proved our balance sheet and as we discussed earlier, we’re heavily focused on completing the repurchase of our Wachovia debt which will also result in a large gain and increase the book value per share. So as a result of the first quarter numbers our book value and adjusted book value per share increase slightly from quarter to quarter with the book value per share of $4 at March 31st compared to $3.81 at December 31st and adjusted book value per share was $8.28 at March 31st compared to $7.96 at December 31st adding back deferred gains and temporary losses on our swaps. It is important to note that these numbers do not include the effect of the anticipated significant gain from the completion of the Wachovia debt retirement. And as I mentioned earlier, the first (inaudible) numbers were also reduced by approximately $0.75 per share for the change in accounting related to our securities during the quarter. Looking at the rest of the results for the quarter, the average balance in core investments declined about $118 million from last quarter, mainly due to pay-offs, pay-downs and the exchange of some of our bonds as part of the trust-preferred retirement during the first quarter. The yields for the quarter on these core investments was around 4.67% compared to 4.42% for the prior quarter. Without some non-recurring items related to non-performing impaired and restructured loans, the yield in these core assets was around 4.90% for the first quarter compared to around 5.30% for the fourth quarter. This decrease was primarily due to first quarter run off at higher rates and reduced rates in refinanced and modified loans in the first quarter. Additionally, the weighted average all-in yield in our portfolio was around 4.75% at March 31st compared to 5.15% at December 31st 2009. And again this decrease was due to higher rates on loans test and lower rates in refinanced and modified loans during the quarter, which will also have some impact going forward due to the timing of these transactions in the first quarter. The average balance in our debt facilities decreased by around $83 million from last quarter, which was due to payoffs and pay-downs in the fourth quarter and first quarter. The average cost of funds in our debt facilities was approximately 4.30% for the first quarter compared to 4.21% for the fourth quarter of 2009. Excluding the unusual impact on interest expense from our swaps, our average cost of funds was relatively flat from quarter to quarter were approximately 4.25% for the first quarter compared to around 4.20% for the fourth quarter. In addition, our estimated all-in debt cost was also flat at around 4.25% at both March 31st, 2010 and December 31st 2009. Overall, normalized net interest spreads in our core assets decreased to approximately 0.70% this quarter from 1.10% last quarter, primarily due to run off and reduced rates in refinanced and modified loans. Next, our leverage ratios were around 70% on our core assets and around 82% including the trust preferred debt for both the first quarter and fourth quarter. And our overall leverage ratios on a spot basis were 5.2:1 at March 31st compared to 4.2:1 at December 31st. This increase is due to the signification reductions in trust-preferred debt on a successful retirement of 114 million of these instruments during the first quarter. Operating expenses were down slightly from quarter-to-quarter, primarily due to less foreclosure-related expenses in the first quarter as compared to the fourth quarter. Looking at the balance sheet there were no real significant changes compared to last quarter other than as we mentioned earlier the significant reduction in our debt facilities during the quarter is a result of the successful retirement of 114 million of trust-preferred debt at a significant discount and a $46 million paydown on the Wachovia facilities through loan payoff and moving assets into our CDO vehicles. This has reduced the amount due to Wachovia that a discounted purchase agreement to around $114 million from the original payoff figure of 176 million. The ability to successfully reduce this debt by moving assets into our CDO vehicles overtime provides us with a lower cost of funds and reduces the amount of capital the company will need to complete this transaction. Additionally, there was a presentation change to the balance sheet due to the adoption of FAS 167 during the quarter. This pronouncement requires the company’s breakout their assets and liabilities separately in the balance sheet, the consolidated variable interest entities, in which the assets of those entities can only be used to satisfy debt obligations and such debt is non-recourse to the company. So as a result we have presented parenthetically in the face of the balance sheet, the assets and liabilities associated with our three CDO vehicles, as there are consolidated entities in which the debt is non-recourse to Arbor Lastly, our portfolio’s statistics as of March 31st show that about 67% of the portfolio was variable rate, while 33% was fixed. By product type, about 60% was bridge, 13% junior participation and 27% was made up of mezzanine and preferred equity. Our asset class 36% was multi-family, 29% was office, 17% hospitality, 13% land and 1% condo. All of which are relatively unchanged from the prior quarter. Our loan to value was around 92%. Our weighted average median dollars outstanding was 65% and geographically, we have around 37% of our portfolio concentrated in New York City. That completes our prepared remarks for this morning. And I would now turn it back to the operator to answer any questions you may have at this time. Operator?
Operator:
 :
David Chiaverini – BMO Capital Markets: Good morning. Few questions for you. The first is so you use the ballet 7 million buyback from the CDO then and set of clients comes toward the Wachovia paydown, why did you do that? I’m assuming it’s that try and manage some of the OC test in the CDOs I just want to hear your thoughts there?
Ivan Kaufman: No, it wasn’t being used to-date. Hi David, this is Ivan. It wasn’t being used to manage our test at all. It’s just effectively deploying our capital. It’s not our plan to use all our liquidity for the purchase of the Wells debt. We’ve been able to managing effectively and we think we can continue to manage effectively without supplying a lot of our liquidity. We think our liquidity can be used to continue to restructure our balance sheet in other effective ways which produces long-term benefits to the company, both on our earnings and on a tangible book basis, so we feel relatively comfortable that we can not just buyback our own debt, restructure substantial amount of our debt, participates in new opportunities, as well as effectively manage the wells transaction.
David Chiaverini – BMO Capital Markets: Okay. You mentioned that you have so far in the second quarter $13 million gain on extinguishing of debt. Was that related to buying back CDO debt as well?
Ivan Kaufman: Yes, that’s correct.
David Chiaverini – BMO Capital Markets: Okay. And you mentioned with the Wachovia paydown that you’re searching for or considering a financing solution to take out that debt. On the last call you said still sort of the plan or you’re going to monetize some assets to that down?
Ivan Kaufman: We’ve been effective in achieving a number of things to reduce that debt, moving assets into our CDO vehicles, number one. Number two, we’ve also been effective in having certain loans payoff and schedule additional loans to payoff. So as that collateral package continues to change (a) it’s getting smaller, and (b) we think (inaudible) to become a little more parent to us over the next 30 days or so.
David Chiaverini – BMO Capital Markets: And related to that, the West 33rd Street transaction, you present in the adjusted book value figure of $77 million deferred revenue, how would you be able to monetize that, does the asset need to be pulled by the partnership in order for you to get that proceeds so you can apply it toward –?
Paul Elenio: David, it’s actually Paul. The proceeds have been received, the transaction is completed and we have monetized the transaction back in 2007. The transaction was structured in a tax advantageous way to achieve a very significant corporate objective which was to retain the capital on the company, so that transaction is completed, it is a tax advantage structure, tax deferral, and upon completion of that tax deferral, which I think was five years, that automatically will record as an income in the books, but it is a completed transaction, cash has been received and there is no risk of that transaction not closing as it is already closed. And that’s why we aided back to adjusted book value because that is already a completed monetized transaction.
David Chiaverini – BMO Capital Markets: Okay. You said it was going to be five year so in 2012 is when that will be officially sort of burdened into equity?
Paul Elenio: It’s earlier depending on how we view the tax structure, but that’s how it was laid out.
David Chiaverini – BMO Capital Markets: Okay. And that the one security purchase, the $4.5 million CMBS, I am assuming that was in one of your CDOs?
Paul Elenio: Correct.
David Chiaverini – BMO Capital Markets: Okay. And then regarding the loan reserve, you now have a significant sort of cushion built up, it’s about 18% of loans. Do you feel that this is now sufficient to cover most anticipated losses through the cycle?
Ivan Kaufman: For us, it’s clearly an objective to get as much behind as is possible. And we feel that we prudently put the right reserves on our books and we also feel that there is a level of stabilization within our portfolio and that by taking these reserves we feel that we’ve been effectively been able to restructure some of these loans and have a higher quality portfolio going forward. As long as the market doesn’t take a double dip, we feel relatively comfortable with the reserves that we book on the portfolio.
David Chiaverini – BMO Capital Markets: Okay, great, thank you.
Operator: (Operator instructions). And that concludes the Q&A portion. I will now turn the call back to Ivan Kaufman for closing remarks.
Ivan Kaufman: Okay. Thank you for your attendance on today’s call and we look forward to future calls and what the rest of the year will bring us. Thank you.